Operator: Greetings, and welcome to the Clean Harbors, Inc. Third Quarter 2018 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michael McDonald, General Counsel for Clean Harbors, Inc. Thank you. Mr. McDonald, you may begin.
Michael Robert McDonald - Clean Harbors, Inc.: Thank you, Christine; and good morning, everyone. With me on today's call are Chairman, President, and Chief Executive Officer, Alan S. McKim; EVP and Chief Financial Officer, Mike Battles; and SVP of Investor Relations, Jim Buckley. Slides for today's call are posted on our website, and we invite you to follow along. Matters we're discussing today that are not historical facts are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Participants are cautioned not to place undue reliance on these statements, which reflect management's opinions only as of today, October 31, 2018. Information on potential factors and risks that could affect our actual results of operations is included in our SEC filings. The company undertakes no obligation to revise or publicly release the results of any revision to the statements made in today's call, other than through filings made concerning this reporting period. In addition, today's discussion will include references to non-GAAP measures. Clean Harbors believes that such information provides an additional measurement and consistent historical comparison of its performance. Reconciliations of non-GAAP measures to the most directly comparable GAAP measures are available in today's news release, on our website, and in the appendix of today's presentation. And, now, I'd like to turn the call over to our CEO, Alan McKim. Alan?
Alan S. McKim - Clean Harbors, Inc.: Thanks, Michael. Good morning, everyone. Thank you for joining us. Starting on slide 3, we delivered another strong quarter that exceeded our guidance, with both reporting segments contributing favorably to our performance. Adjusted EBITDA outpaced revenue growth, resulting in a 50 basis point margin improvement. Growth in Environmental Services was driven by Veolia, an improved mix of waste streams, and increases in our industrial, energy and field services businesses. Safety-Kleen delivered its ninth consecutive quarter of revenue and EBITDA growth. Turning to Environmental Services on slide 4, we generated 15% top line growth. Approximately two-thirds of that revenue increase was Veolia. The remainder was driven by greater activity among a variety of businesses, pricing improvements, and a mix of higher-value waste streams into our disposal network. Looking at this segment's profitability, adjusted EBITDA was up 18%, with a 60 basis point margin improvement. And I should point out that we're still in the early days of improving Veolia's profitability. If we remove Veolia from the segment, our margins would have been approximately 20.1% or 180 basis point improvement from last year. Incineration utilization came in at 84% due to a heavy schedule of planned maintenance, plus a few unplanned days at several locations. Fortunately, the combination of pricing initiatives and our success in capturing higher-value waste streams yielded increased profitability in our incinerator network, even with the 8-point drop in utilization. With the addition of our El Dorado incinerator, we're setting new records for drum volumes, and we are drawing more waste streams from the ongoing expansion that we see in the chemical sector. Landfill tonnage was down 18% due to the timing of some projects, but our average price per ton was up significantly year-over-year due to a strong base business, which more than offset the lower tonnage. Landfill volumes remain ahead of 2017 year-to-date. We generated strong profitable growth within our network of TSDFs, our wastewater treatment plants, and our chemical recycling facilities. Moving to slide 5. Safety-Kleen grew revenues by 6%, primarily due to higher base oil and blended pricing, supported by growth in our core offerings at the branches, including direct lube sales. Parts washer revenues were flat despite a slightly lower number of actual services performed in the quarter, while waste oil collection volumes caught more than 60 million gallons, up from a year ago. The team achieved this while maintaining a zero-pay average per gallon. Similar to the past several quarter, our re-refineries ran well, again, with production levels above a year ago. Safety-Kleen's adjusted EBITDA increased 13% due to higher pricing, the team's ability to manage the spread, and the closed-loop offering. In terms of sales mix, direct lube sales accounted for 6% of Safety-Kleen's total volume sold, similar to Q2 and up from 4% a year ago. Overall, blended product sales were lower than expected at 25% of our total volume. Our focus continues to be on profitable blended product sales, and we are focusing on margins versus volumes at this time. With the upcoming changes expected as result of the IMO 2020 regulations, we will continue to look at every contract and every sale on a short-term basis until we have better visibility on the impacts to our collection markets and the base and blended oil markets. Moving to our corporate update on slide 6. Our focus this year remains on growing the business profitably and improving our margins. We've been pleased with our performance year-to-date and want to carry that momentum through Q4 and into 2019. The price/mix efforts in our incineration network was really what carried us through in Q3. This focus enabled us to overcome the higher number of down days in the quarter. And as we move into Q4, we expect to see our mix continue to improve, supported by new or expanded chemical waste streams. And that trend should continue in the years ahead, given the availability of cheap natural gas here in the U.S. For the closed-loop, we continue to target doubling the volume of direct lubricants sold from that of 2017. We remain confident about the compelling value proposition for our direct lubricant offering, and we continue to have steady success. We have now surpassed 25,000 unique direct customers as of September. We continue to see a considerable pipeline of medium and large direct lube opportunities. And our ramp-up in the closed loop continues, and interest remains high. The strategic realignment that we did of our sales and service organization within Environmental Services at the start of this year is really working well. We see it improving profitable growth for us this year, and it should continue to enable us to achieve more cross-selling and really better sharing of people and assets going forward. The Veolia integration continues, and we're on plan with capturing a number of cost synergies. And, in fact, we've spent some capital during Q3 to eliminate some of their legacy legal leasing costs. Their operational footprint should afford us more opportunities for growth and drive more waste streams into our network, particularly, in the Gulf and Midwest going forward. Turning to our capital allocation strategy on slide 7. As Mike will touch on, we expect a good cash flow performance this year, and we'll evaluate the best ways to deploy that capital. On the acquisition front, we're targeting companies that allow us to leverage our network and benefit from our investments in technology. Along those lines, we're intensifying our focus on mobility at Clean Harbors, and we'll be promoting a greater usage of handheld devices, applications, and mobile platforms among our workforce. We're examining new and different ways to apply artificial intelligence and data analytics to streamline many of our internal functions and to improve on safety. In Q3, we purchased a small Massachusetts company, Cyn Environmental, that will support both our Environmental Services and our waste oil collection business. Their location included a Part B oil terminal outside of Boston and a Part PCB storage facility located in New Hampshire. And while we look for attractive bolt-on acquisitions like Cyn, we're also seeking opportunities to divest some of our smaller non-core assets or businesses. And in addition, we'll continue to execute on our stock buyback program. Let me close with our outlook. We enter the final quarter of 2018 with momentum supported by array of favorable market trends and internal initiatives that should bode well for us in 2019 and beyond. Strong growth in the U.S. chemical and manufacturing industry should feed additional high-value waste streams into our disposal network. We're seeing a growing pipeline of larger-scale remediation and waste projects that can support our landfills going forward. Within Safety-Kleen, we remain optimistic about our ability to continue to effectively manage the spread, while growing our core lines of business and our branches and advancing our direct lube oil sales model. Overall, we look forward to a strong conclusion to this year. So, with that, let me turn it over to Mike Battles. Mike?
Michael L. Battles - Clean Harbors, Inc.: Thank you, Alan; and good morning, everyone. Turning to slide 9, and our income statement, we've followed up a strong first half of the year with continued profitable growth in Q3. We increased revenue by more than $87 million from the prior year. Veolia accounted for approximately half of that growth, with the remainder driven by organic contributions from both reporting segments. The decline in gross margin this quarter largely reflects the impact of Veolia, as well as our high number of down days in our incinerators that Alan referenced. We expect our plants to perform in Q4 and beyond, which should translate to gross margin improvement, as we leverage those high fixed cost assets. As expected, SG&A expenses were up on an absolute dollar basis, reflecting increases in benefits and incentive compensation, as well as the Veolia acquisition. As a percentage of revenue, however, SG&A expenses came down by 50 (00:11:15) basis points in the quarter. That improvement was driven by higher revenue, improved leverage from our new regional structure, and the integration of Veolia into our existing SG&A structure. For the full-year 2018, we now anticipate that SG&A expenses as a percentage of revenue will be down from 2017. Depreciation and amortization was essentially flat, as the addition of Veolia was offset by assets that were fully depreciated. D&A expense for the full-year 2018 is expected to be $295 million to $300 million, slightly below our previous range. Income from operations for the third quarter increased 38% to $65.7 million, reflecting higher revenue in operating margin. Better pricing and more high-margin waste streams propelled a 15% increase in adjusted EBITDA. We also benefited from a favorable comp from last year because of the negative impact of the three hurricanes in that period. On the bottom line, GAAP EPS was $0.55 per diluted share, which was up more than 160% from a year ago. Adjusted EPS was $0.59. Turning to the balance sheet on slide 10. Cash and short-term marketable securities totaled at $252.9 million at the end of the quarter. The increase in receivables in Q3 was a direct result of our higher revenue. DSO came in at 75 days, slightly higher than expected, primarily due to Veolia. Excluding Veolia, DSO would have been 72 days, exactly where we ended 2017. That said, we're not satisfied with DSO in the low-70s and are working hard to bring that number down in Q4. Before moving to our cash flows, I want to remind folks that we refinanced a quarter of our long-term debt in July, shifting $400 million of our senior unsecured notes to a $350 million expansion of the variable rate Term Loan B facility and drawing $50 million on our revolver. To offset the variable rate nature of our Term Loan B, we put an interest rate swap in place. These refinancing activities should save us more than $2 million in annual interest expense, push the tenor of that debt out by four years, and afford us greater flexibility to reduce our debt. At the end of the third quarter, our net debt-to-EBITDA ratio is 2.9 times. At the end of September, 27% of our total debt portfolio remains at a variable rate. And our weighted average cost of debt as of September 30, was 4.7%. Turning to cash flow highlights on slide 11. Cash from operations was $117.5 million in Q3, up 12% from a year ago. CapEx net of disposals was $53.1 million, leading to adjusted free cash flow of $64.4 million. CapEx this quarter was up from a year ago, but is mainly due to the timing of some investments, including lease buyouts in Veolia. We expect CapEx to trend down in Q4 from Q3. For the full year, we continue to target CapEx net of asset disposals of $170 million to $190 million, which include those Veolia investments. During the quarter, we repurchased $7.1 million of stock or approximately 104,000 shares. Year-to-date, we have bought back more than 635,000 shares at an average cost of $52.82 per share. As you can see on slide 11, when we instituted our share repurchase program in 2014, we had approximately 61 million shares outstanding. Today, we have reduced that by about 8% to 56 million shares. Moving to guidance on slide 12, based on a nine-month results and current market conditions, we are raising the low end of our adjusted EBITDA guidance from $460 million to $470 million. The new midpoint represents a 13% increase from 2017. For Q4, the midpoint of that range would translate to an adjusted EBITDA increase of about 9% versus the prior year. We are hopeful to conclude the year in the upper half of our guidance range, but want to continue to provide numbers that we are confident we can consistently achieve. Here's how our current full-year 2018 guidance translates from a segment perspective. In Environmental Services, we expect adjusted EBITDA to increase 13% or better in 2018. This growth will continue to be driven by pricing, higher-value waste streams and margin enhancements in our disposal business. We now expect Veolia's U.S. Industrial business to be at the high end of our guidance we set in August of $10 million to $13 million in adjusted EBITDA this year. Safety-Kleen remains on track to generate adjusted EBITDA growth of 13% to 14% due to effective management of the spread in our re-refinery business, increased production volumes in our plants and steady contributions from the branch network that includes the closed loop. We expect a negative adjusted EBITDA in our corporate segment to increase at a rate approaching a mid-teens level from 2017, primarily due to cost of acquisitions and higher incentive compensation and benefits, including 401(k). Based on cash flows through the first nine months of the year and our current working capital assumptions, we've narrowed our 2008 (sic) [2018] adjusted free cash flow guidance to a range of $140 million to $160 million with a midpoint of $150 million unchanged. In summary, we hit our adjusted EBITDA targets for the third straight quarter and expect year-over-year profitable growth and margin improvements in Q4. Consistency and predictability have been a critical focus for us, and they remain so as we head into our annual budgeting process. We will provide 2019 guidance ranges for adjusted EBITDA and adjusted free cash flow on our Q4 call in February. With that, Christine, please open up the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. Thank you. Our first question comes from line of Hamzah Mazari with Macquarie. Please proceed with your question.
Mario Cortellacci - Macquarie Capital (USA), Inc.: Hi, guys. This is actually Mario Cortellacci filling in for Hamzah. Regarding the implications of the IMO 2020 Rule, could you maybe talk about the impact to your business and maybe any work you've done to see how it plays out for the future of the business?
Alan S. McKim - Clean Harbors, Inc.: Yeah. I'll start, and Mike can chime in. So, there are certainly opportunities that we're seeing on the industrial side for sure, as there is more work going on in the refineries; and many of our customers, we believe, will be doing a lot more tank cleaning and other preparation for that change. Obviously, the bigger implication is on the Safety-Kleen side of our business, where there will be significant shift to the lighter fuels upwards of 50 billion gallons or so to the lighter distillate fuels and elimination of the high sulfur materials. And so, therefore, having a significant amount more of high sulfur oil in the market will, in our opinion, at least, have an impact on that waste oil side of our business, which today, some of our waste still goes into that market and is actually used as a fuel on some of these ships. So, we think that, that market will be significantly changing. And then, on the opposite side, obviously, because of the high demand, that 50-billion-gallon-plus demand on the fuel side, we believe that the fuel market will continue to increase cost, and therefore, there is a correlation with base oil in many respects. So, we believe that, that base oil will probably be shifting upwards as well. So, lower value for the quality of the oil being collected out the streets should continue to be a benefit of a raw material cost and a higher value for our base oil, we believe, would be the benefit on the other side of it. So, those are the three things that we're keeping our eye on, but certainly don't have an exact understanding of where it's all going to shake out over the next year or two.
Mario Cortellacci - Macquarie Capital (USA), Inc.: Got you. Thank you. And then, just a quick follow-up. Could you give us a sense of pricing in your incinerator and landfill business, and how that's trending on the hazardous waste side?
Michael L. Battles - Clean Harbors, Inc.: Yeah, sure. Mario, this is Mike. Certainly, both on the incinerators and on the landfills, pricing have been good so far this year. Up, probably better than we had expected in our original model. That is really due to the team, focusing not just on price, but on better mix. And you see that in the operating margins here in Q3, and really, for the whole year.
Mario Cortellacci - Macquarie Capital (USA), Inc.: Great. Thank you, guys, so much.
Alan S. McKim - Clean Harbors, Inc.: Okay.
Operator: Our next question comes from the line of Tyler Brown with Raymond James. Please proceed with your question.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Hey. Good morning, guys.
Alan S. McKim - Clean Harbors, Inc.: Good morning.
Michael L. Battles - Clean Harbors, Inc.: Hey, Tyler.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Hey. Nice quarter. But, hey, Alan, I want to come back to that, on the incinerator side. Just can you give any more flavor of specifically what that average price per pound was up this quarter? I think you had talked about it last quarter?
Alan S. McKim - Clean Harbors, Inc.: Yeah. It's probably up about 11%, I think, at this point. Right, Jim?
Jim Buckley - Clean Harbors, Inc.: Year-over-year.
Alan S. McKim - Clean Harbors, Inc.: Year-over-year up about 11%.
Jim Buckley - Clean Harbors, Inc.: And Tyler, (00:21:37) step down from 92% to 84% would tell you that it's got to be higher than that...
Alan S. McKim - Clean Harbors, Inc.: Yeah.
Jim Buckley - Clean Harbors, Inc.: ...percentage drop in order for us to have made more money in that business.
Alan S. McKim - Clean Harbors, Inc.: And I think the most important thing, too, is that with the El Do incinerator, which was really built to handle much more difficult streams, as we started that plan up in the first 12, 16 months, we were bringing a lot of different volumes of waste, as we're going through the startup of that plant. And now, we've kind of got that plant lined out pretty well, and we're starting to introduce some more difficult streams that, that plant was originally designed for. And the timing was great, because we've got a couple of customers that are coming online with those kind of streams. So, it's worked out pretty well for us there.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. Right. Would kind of come to my second question. Was maybe mix half of that increase? Is that a decent number, I guess?
Alan S. McKim - Clean Harbors, Inc.: Yeah. I think mix – we can't underestimate the value of the mix. You're absolutely right, yeah, but I would tell you that there has been an initiative. We've been meeting with the team almost every other week to review pricing across the entire portfolio. And so, that margin improvement initiative that we've kicked off this year, we're now starting to bear fruit from that. And customers are realizing that over the last three or four years, with the economy the way it was, we weren't enable as much to the kind of command a higher price. And, in fact, many cases gave out significant discounts particularly with our oil and gas clients. So, we've really been pushing that back again through those initiatives.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. So, as we think about it though, the petrochem build out is starting to crescendo. You've got a bunch of plants coming online. They produce, what, I guess, could be viewed as a higher-value waste stream. But is there any reason to believe that we couldn't get this kind of maybe mid-single-digit core pricing, plus a few points on the mix side for maybe the next couple years, or is that a little aggressive?
Alan S. McKim - Clean Harbors, Inc.: Clearly, that would be our hope, but Mike, will be our hope, but certainly, we're cautious on that, right.
Michael L. Battles - Clean Harbors, Inc.: Yeah. I mean, Tyler, we've talked about having a lot of chemical investment in the chemical industry and the refining industry over the next 5 to 10 years. Who knows? But, certainly, we've been able to grow low-single digits, mid-single digits. There's no reason to think we couldn't do it. It really depends on the market.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. And then, real quick, Mike. What was your incentive comp expectation for this year? Is it over 100% of the normal accrual?
Michael L. Battles - Clean Harbors, Inc.: Yeah. It's probably right around there. It's probably right at 100%.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Oh, okay. So, when we think about SG&A dollars maybe off into next year, do you think they'll be up with maybe 401(k) merit increases? Sounds like incentive comp won't be a positive variance necessarily, but do you still expect SG&A dollars to be up next year?
Michael L. Battles - Clean Harbors, Inc.: Yeah. So, I think that incentive comp may be down a bit and offset by benefit increases. I don't think that those two may net themselves out. If I look at 2019, I think there's a netting of those two, Tyler.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. All right. I appreciate it.
Michael L. Battles - Clean Harbors, Inc.: Okay.
Operator: Our next question comes from the line of Michael Hoffman with Stifel. Please proceed with your question.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Thank you for taking the questions. Tax rate in 4Q, I get this is all over the map. And how do we think about what we should have as an effective tax rate?
Michael L. Battles - Clean Harbors, Inc.: I think that it's going to be a little on the high side versus the high-20s that we've kind of set over the long term, because I think there's some losses in Western Canada that we can't take a benefit for, Michael, that's going to skew the rate a bit.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. And then, from a pure earnings per share standpoint, where should we start with an effective tax rate for 2019?
Michael L. Battles - Clean Harbors, Inc.: We're hopeful that – the plan has it so that we're going to start, at least breaking even, if not making money in 2019. I think our effective rate should be in the high-20s, as you look at 2019.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: 28%, 29%.
Michael L. Battles - Clean Harbors, Inc.: Yeah, overall.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: And then in the context of a full-year guidance, if you take it at the midpoint, $480 million, that has you dropping down to $111 million for fourth quarter. Help us what the seasonal issues are in the waterfall of that $30 million sequentially, so everybody appreciates what's happening in the business that leads to that seasonal...
Michael L. Battles - Clean Harbors, Inc.: Michael, can you repeat the question please, just real quickly?
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: So, if you hit the midpoint of your full year, you're at $480 million.
Michael L. Battles - Clean Harbors, Inc.: Yes.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: That means fourth quarter is $111 million?
Michael L. Battles - Clean Harbors, Inc.: Yes.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Which is down $30 million, sequentially? Can you waterfall about why that happens, so everybody appreciates the strength of the business despite the sequential dip?
Michael L. Battles - Clean Harbors, Inc.: Yeah. So, Michael, that's very normal for this business. Q2 and Q3 are our best quarters. The turnarounds of our businesses kind – of our customers happen in that time period. So, as such, our industrial business does really well. We do a lot of high – kind of hazardous waste pickup work is done in the fall. This is our big – September, October are our big months; and April, May are our big months. And so, really, Q2 and Q3 are the big months. As you get to the end of the year, the week of Thanksgiving, the week of Christmas, those are just naturally slower months for us, slower time periods for us – for our customers and for us. And so, although that's down sequentially, Q2 to Q3, that's actually pretty normal, as is happened over the past few years.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. And that was part of it. This is a normal dip, the $30 million.
Alan S. McKim - Clean Harbors, Inc.: Oh, yeah.
Michael L. Battles - Clean Harbors, Inc.: Oh, yeah.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: You're not seeing anything?
Alan S. McKim - Clean Harbors, Inc.: No. Michael, on the Safety-Kleen side, you have summer-driving season so you've got a lot more vehicle miles driven. So, everything kind of slows down. You get frozen ground starting in some areas, so construction slows. It's a natural seasonality.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: All right. And then, if I think about the flow through, the pattern going into 2019, I mean, we're talking about probably a midpoint that's got $500 million handle on it, low $500 million handle on it for 2019 is not an unreasonable place to start modeling?
Michael L. Battles - Clean Harbors, Inc.: We have to go through our budget process, Michael. It starts in November, and we're going to go through it, review it with Alan and I. And we have to get through the board, and that process happens naturally. It wouldn't shock me if that's the answer, but I don't want to make any commitment to you.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. And then, when do we start to see – because your corporate overhead is going to be up. If you're saying mid-teens, 15%, that's greater than sales. So, when do we get some operating leverage in the corporate overhead, where it's not growing any faster than sales, maybe even slightly slower?
Michael L. Battles - Clean Harbors, Inc.: Yeah, I think that this is a catch up of incentive comp. I think as you look at 2019, we're going to get some leverage in that part of the business, absolutely the case.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: All right. And then, Alan, just to repeat, I think, what you were saying, just to make sure I heard it correctly, in IMO 2020. So, in Environmental Services, in the industrial and field services, you could have activity, because the tank clean-ups and incremental refining work in Safety-Kleen, in the KPP business, I get two (00:28:53) plays. I get improvement on the front end of the used oil collection side, because I'll have to pay less for it or even get to be able to charge more. That's permanent probably, but theoretically, there's at least a temporary lift in base oil prices because of the incremental demand for middle distillates driving up back in gas oil pricing. And that widens the spread, and you're going to take a wait-and-see attitude on how that plays out before you put it into guidance?
Alan S. McKim - Clean Harbors, Inc.: That's right. You got it.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. All right. Great. Thanks.
Alan S. McKim - Clean Harbors, Inc.: Thank you.
Operator: Our next question comes from the line of Noah Kaye with Oppenheimer. Please proceed with your question.
Noah Kaye - Oppenheimer & Co., Inc.: Good morning. Thanks for taking the questions. If I could just briefly follow up on Michael's question around kind of the seasonal cadence. I just want to make sure I'm thinking about this right. If I look at 3Q last year, if I remember correctly, you guys had about a $7 million EBITDA hit from the hurricanes. So, if you add that back, that's sort of a similar kind of $30 million-ish drop from 3Q to 4Q. So, I just want to make sure I'm thinking about that right. And that this is absolutely kind of consistent with how we would normally see the business trending. Is that correct?
Michael L. Battles - Clean Harbors, Inc.: Absolutely, Noah. You got it right.
Noah Kaye - Oppenheimer & Co., Inc.: Okay. Mike, I think you mentioned, you're focused on DSOs and hoping to bring that down in 4Q. But even if you make some progress this year, it seems like working cap will be a drag. How should we think about that potentially kind of being neutral or even reversing in 2019? Because it looks like it's going to be a free cash flow tailwind in 2019. Am I thinking about that right?
Michael L. Battles - Clean Harbors, Inc.: Yeah. So, the challenge you have with working capital is, as our competitors have suggested as well, people are holding back payments. And they really are. We need to do the same, and we have and will continue to do so. I think as the business has grown, as we built out the closed loop, some of that has been a working capital headwind, whether that be in inventory, whether that be in AR as the business grows. AR is growing, and I don't see any concerns there from a collection standpoint, but certainly, AR is growing at an absolute dollar basis. As we go into 2019, again, we got to go through our budget process and understand kind of timing and kind of how our growth kind of flows through P&L. But I'm hopeful that it's a modest headwind as we go into 201, and that we can manage it better through kind of better process. Alan talked about some investments we're making in technology. We're hopeful to kind of streamline some of the collection efforts that we have in our business to make it, so less manual intensive and as such faster.
Alan S. McKim - Clean Harbors, Inc.: Yeah.
Noah Kaye - Oppenheimer & Co., Inc.: That's very helpful. Turning to kind of some of the business factors here. You mentioned no emergency response in the quarter, which has been how it's mostly been, right, for the past couple of years. Seeing a lot of ink around PFAS liabilities mounting, it doesn't seem like there's – for the makers of those products, historically, we've been thinking about that as a potential opportunity for you. It seems like there's not a clear sort of regulatory framework yet. But are you guys starting to see some work related to that clean up? Are you getting any indications of whether this can be a real opportunity, and when that might start to convert into business for you?
Alan S. McKim - Clean Harbors, Inc.: Yeah. We've seen quite a bit in that, and actually, had a session on that a couple of weeks ago here with the management team to talk about strategizing on how to go after that market as it begins to, as you say, framework from a regulatory standpoint as well. So, I absolutely think that, that's growing and could be a very large market for us.
Noah Kaye - Oppenheimer & Co., Inc.: Okay. Just so I understand, are you getting any business from that now? Are you seeing any kind of quotation activity around that (00:33:02).
Alan S. McKim - Clean Harbors, Inc.: I would say, this year $25 million, $30 million or so of revenue in that area right now. And a lot of our units are booked out, so we're looking at investing some more capital to build more units, to expand our service offering in that area. So, yes.
Noah Kaye - Oppenheimer & Co., Inc.: Okay. Great. And maybe if I could sneak one more in. We've had a lot of discussion from industrials and even some of the solid waste folks this quarter about some of the constraints in the Permian around takeaway capacity. How is that impacting your business? And do you think you could see maybe another lift next year, as some of that capacity constraints starts to ease?
Alan S. McKim - Clean Harbors, Inc.: I don't know if it's really directly impacting us per se with the constraints on the crude side. We are doing quite a bit of work in the Permian. We've been expanding some of our footprint in that market. It hasn't really directly impacted us. And so, I don't think at this point, it's something that's going to, like open up the floodgates at least for us next year when the pipelines are completed. I do want to just get back to the issue of ER. Although the last few hurricanes that we've had, although been quite devastating both in the southeast and down in the Gulf in Florida, we have been doing quite a bit of response work in the Gulf recently to help with getting the infrastructure back up. But as you know, many of the events that we've typically had were much more focused on those areas where there's such a large oil infrastructure. And so, in the case of last two, it's simply been where they landed. It didn't create the kind of opportunity that we typically see. But we continue to invest in our ER response capability, continue to sign up customers with standby service agreements. And we expect that to continue to be an important part of our business moving forward.
Noah Kaye - Oppenheimer & Co., Inc.: Okay. Thank you so much, Alan. appreciate the color.
Alan S. McKim - Clean Harbors, Inc.: Okay.
Operator: Our next question comes from the line of William Grippin with UBS. Please proceed with your question.
William Grippin - UBS Securities LLC: Hi. Good morning, guys. So first question is just given where oil is trending, industrial economy doing well, how are you guys thinking about margin expansion potential in the current environment? And is it possible for Clean Harbors to get back to, call it, the prior peaks? And then, with waste oil cost at zero this quarter, is moving to pay-for-oil potential headwind to margin expansion? Thanks.
Michael L. Battles - Clean Harbors, Inc.: Hey, William. This is Mike. I'll start, and Alan feel free...
Alan S. McKim - Clean Harbors, Inc.: Yes.
Michael L. Battles - Clean Harbors, Inc.: ...to chime in. So, we've said many times, William, that our goal is to get 50 basis points to 100 basis points of margin expansion each year and that could be done through price, mix, cost controls, efficiencies, technology, what have you. And that's been our mantra and our goal as we expand. So, I think that there is certainly opportunity to kind of get back to kind of the high margins that we enjoyed four, five years ago. On the PFO, zero pricing we have today for our used motor oil, that's all predicated on the market. It's hard for me to predict that right now. As we look in Q4, we're not anticipating it going up or down in our current guidance, but obviously oil prices will have a say in that.
Alan S. McKim - Clean Harbors, Inc.: Yeah. And, Will, it's important to understand that's a spread business. So, if we're moving up to it, I wouldn't think of it as a headwind, because it usually will be going because we're getting something on the back end.
Michael L. Battles - Clean Harbors, Inc.: That's right. Good point.
William Grippin - UBS Securities LLC: Got you. Okay. And then, next question is just, are you guys looking at any other potential large M&A, like the Veolia acquisition, either to further build out the closed loop or other strategic fits within the ES business?
Alan S. McKim - Clean Harbors, Inc.: Yeah. We continue to look at opportunities kind of small and large in that area, and we always seem to have a good steady flow of opportunities coming through the door and people that we're working with. So, nothing eminent at this point, but continue to certainly have discussions with folks, and we continue to be interested. One of the real benefits of our company is we've got one platform, one system to run the entire company on. And as we look at opportunities to acquire companies, we find oftentimes they have many disparate systems and somewhat inefficient. And so, when we're talking to some of these key strategic targets that we have, we're really looking for companies where we can really bring in some of the benefits of our technology and get the synergies quickly.
William Grippin - UBS Securities LLC: All right. Thank you.
Operator: Our next question comes from the line of Dave Manthey with Baird. Please proceed with your question.
David J. Manthey - Robert W. Baird & Co., Inc.: Hey. Good morning, everyone.
Michael L. Battles - Clean Harbors, Inc.: Hey, Dave.
David J. Manthey - Robert W. Baird & Co., Inc.: First off, on the El Dorado capacity, how much of that today is filled with high-value waste streams versus – I know when you started it up, you're just taking anything. So, are you halfway through that transition, more than that? And then as you think about taking on those higher-value waste streams, I would assume there's a glide path that'll help improve margins next year as well. But any color you can give us in terms of the capacity that you've filled and what you have left to go there?
Alan S. McKim - Clean Harbors, Inc.: No, I think that's a never-ending process really for us, not only in El Do, but really with all of our plants. And it's always sort of maximizing the profitability, maximizing your mix, making sure that all of your feed systems in each of your plants are being utilized. So, I think, Dave, you're right that probably El Do is behind in regard to that process, simply because of the newness of that brand new plant. But maybe we're at 50% getting it right, so to speak, or getting the right mix and blend. But I would just say that in the future that's just always an ongoing effort that we have in running basically what is a chemical plant. And that's part of our success, I think, we've seen over the last number of years on our incineration business.
David J. Manthey - Robert W. Baird & Co., Inc.: Okay. So, what you're saying, Alan, is that you're also capturing higher-value waste streams outside of El Do in your other incinerators as well right now?
Alan S. McKim - Clean Harbors, Inc.: Absolutely. Absolutely.
David J. Manthey - Robert W. Baird & Co., Inc.: All right. And then, as it relates to the utilization of the incinerators and the high level of shutdowns you had in the third quarter. Because of those shutdowns, planned and unplanned, is there anything we should read into the fourth quarter in terms of will we have more days of operation than normal in the fourth quarter?
Alan S. McKim - Clean Harbors, Inc.: Yeah, we should. Absolutely. And it was just a way that some of our – these were planned outages. And we've pushed one from Q2 to Q3 and a couple of extra days on a couple of our planned turnaround. So, nothing outside of the ordinary, but they all kind of fell together in the third quarter. So, we do have quite a bit of waste to burn and steady volume of waste being collected certainly. So, we're going to be in pretty good shape here in the fourth quarter.
David J. Manthey - Robert W. Baird & Co., Inc.: Good to hear. Thank you.
Alan S. McKim - Clean Harbors, Inc.: Yeah.
Operator: Our next question comes from the line of Sean Hannan with Needham & Company. Please proceed with your question.
Sean K. F. Hannan - Needham & Co. LLC: Yeah. Good morning, folks. Can you hear me?
Alan S. McKim - Clean Harbors, Inc.: Yes. Good morning, Sean.
Michael L. Battles - Clean Harbors, Inc.: Hi, Sean. Good morning, Sean.
Sean K. F. Hannan - Needham & Co. LLC: Okay. Good morning. Okay. So, wanted to see just generally high level, if you folks can talk maybe a little bit more about how you feel about the pace of volume and the mix in that legacy tech services business in terms of – and a little bit more color on the accelerators there. Alan and Mike, you hit on the chemical industry a little bit earlier. We've also been encouraged by that, and thank you. But can you give us maybe a summary picture here, across the disposable areas, for where we are today, which can see volume as well as mix improvements since we are looking forward? Thanks.
Alan S. McKim - Clean Harbors, Inc.: Yeah. Well, I guess what I would say is, is that we still see a lot of investment being made in the chemical area. And some of those plants may just require our industrial services folks to provide maintenance and turnaround services for them, and they're not going to be heavy waste generators. But on the other hand, we've got some chemical plants coming online that are really generating some healthy waste streams that they're going to be relying on a partner like us to kind of tie in directly with them and help them with those streams, Sean. So, I guess, what I'd say, is that it's evolving over the next year or two, because those investments that have been made, and now under construction, and now those plants are coming online, those continue to provide us opportunities we believe. And we think will continue to win our fair share of them. I just think, overall, as we look at the amount of waste being generated across the network – not just these large chemical waste streams, but across the network, our drum volumes continue to be at record levels. We're excited about that. We're happy that customers are choosing us to be their supplier, and we think that will continue. And we're certainly working hard to get more trucks and more drivers to provide that increased demand for our services.
Sean K. F. Hannan - Needham & Co. LLC: Okay. All right. That's helpful. Maybe if I can follow up on the landfill decline. Was that Sawyer or elsewhere? I was surprised by the size of the decline, given the levels that it had already been at. And as we consider the more current state dynamics in terms of shale activity or other, just want to understand that piece a little bit better. And then I have a last question here.
Michael L. Battles - Clean Harbors, Inc.: Certainly, our volumes are down a bit overall. For the full year though, Sean, they're up. At the end of the day it is a lumpy business. We've talked about that. I'm not going to speak to any one landfill versus another. But the good message on there is that prices are up. The amount of revenue that we're generating out of the landfills is up quarter-over-quarter, and we're pleased about it. We talked about landfill volumes, waste volumes. It really is a mix issue, and it really is based on the level of projects. And it's off a bit, but I'm not overly concerned.
Alan S. McKim - Clean Harbors, Inc.: Yeah. I think with 11 landfills, each has always a different story...
Michael L. Battles - Clean Harbors, Inc.: That's right. That's right.
Alan S. McKim - Clean Harbors, Inc.: ... in each quarter about opportunities and base business and so forth, so...
Michael L. Battles - Clean Harbors, Inc.: And timing of projects...
Alan S. McKim - Clean Harbors, Inc.: Yeah.
Michael L. Battles - Clean Harbors, Inc.: ...all kinds of interesting things.
Alan S. McKim - Clean Harbors, Inc.: Yeah. But I think the good news is the pipeline that we're seeing, Sean, is good, and it's just the timing. And as Mike said, it's a lumpy business.
Sean K. F. Hannan - Needham & Co. LLC: Okay. Fair enough. And then, last question here, conceptual one for you. So, you folks have about a $5 billion enterprise value signed by the market today. And when you step back and consider replacement value of the disposal assets alone, and particularly a lot of that incineration, permitting, et cetera, what kind of number you think would be, in a broad sense, on that replacement, as I try to consider a sanity check against the valuation that the market has given you today?
Alan S. McKim - Clean Harbors, Inc.: Well, I think obviously there's the capital side of it. But I think most important is the irreplaceable value of the permits that we have. We've really worked hard to maintain the compliance and the regulatory compliance of these facilities. And these are irreplaceable in my opinion. To get a new incinerator, I think would be such a monumental task. And the fact that we've been able to not only maintain the existing network we have, but expand some of those existing facilities, and maybe with the potential to continue to expand them, I think, bodes so well for the reputation we have with our communities, the leadership team we have in running these plants. I don't know how you put a dollar amount to that.
Sean K. F. Hannan - Needham & Co. LLC: Okay. Fair. Understood. All right. Thanks for taking the questions folks.
Alan S. McKim - Clean Harbors, Inc.: Okay, Sean.
Operator: Our next question comes from the line of Tyler Brown with Raymond James. Please proceed with your question.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Hey, guys. I just have a quick follow-up if that's okay.
Alan S. McKim - Clean Harbors, Inc.: Okay.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Hey, Mike. I want to come back to IMO real quick. So, I'm optimistic, you're optimistic, we're all optimistic, but in reality, the outlook's pretty hazy. So, Mike, I want to understand how you're going to think about SK whenever you go into the budgeting process. I mean, are you going to kind of look and take the current spread forward or are you going to try incorporate some of the impacts the spread could feel from either that waste oil pricing or maybe even VGO pricing?
Michael L. Battles - Clean Harbors, Inc.: Yeah. The good thing, Tyler, is I don't have to do that today. And I have until February to figure that out. It's going to be hard because the problem I feel is that when it comes to like input costs and collection costs, it's going to be hard to put a number on what the impact is. Say, one of competitors decided to go out of business or do something else, we may get a little more on the charge of oil, but we won't know it, because if we lost a customer in a certain geography, I lost competitor in a certain geography. So, it's going to be very difficult, to be honest with you. I think, we ultimately, are going to push the team to put something on our internal budget, so we can hold ourselves accountable to a number to make sure that we're focused and drive it to an internal number. How we do that externally is going to be tricky, and I don't have a great answer for you today.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. Okay. That's helpful. And then, maybe my last one, Alan. Do you think the 20 million gallons of direct sales could be possible in 2019? And if so, do you think you really need to anchor a couple of these really big accounts? And maybe what's been the hindrance on securing maybe a couple of those?
Alan S. McKim - Clean Harbors, Inc.: We have a 12 million gallon goal this year. We're not going to achieve that goal, so that's certainly going to make it more difficult to get to that 20 million gallon target next year. I would say that the team has done a really good job of touching a lot more clients. So, as I mentioned in my script there, there's 25,000 customers now that are buying our products. But getting some of the larger national customers, we have a lot in our pipeline, we've got a lot of interest in that. To be honest with you, we have opportunities to continue to grow our blended volume next year, which should deal with the shortfall that we might have on the 20 million direct. So, we certainly have other interests, particularly from our distributors and growing the volume of business through our distributor network to offset that. So, I hope, next year, we could say that we are moving more away from base oil and more to blended. I think the blended direct is where it's going to tail behind a little bit next year still.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. I appreciate the commentary. Thank you.
Alan S. McKim - Clean Harbors, Inc.: Yeah. Okay.
Operator: Our next question comes from the line of Scott Levine with Bloomberg. Please proceed with your question.
Scott Justin Levine - Bloomberg Intelligence: Hey, guys. Good morning.
Alan S. McKim - Clean Harbors, Inc.: Good morning, Scott.
Michael L. Battles - Clean Harbors, Inc.: Hi, Scott.
Scott Justin Levine - Bloomberg Intelligence: Just on capital allocation maybe. A couple of years ago, you guys were pretty active there on the acquisition side, even last year, Veolia, et cetera. Hadn't seen as much activity in the last few quarters and a little bit more on the buyback. But maybe you could assess your appetite on acquisitions and maybe a little bit more specifics or the guard to where your interest may be in the marketplace right now?
Michael L. Battles - Clean Harbors, Inc.: Sure, Scott. I'll start; and Alan, feel free to chime in. And so, we bought Veolia this year. So, we bought that. It feels like a long time ago, I get it, but we bought it in February. So, we are still – that was a major acquisition for us, and we've worked our way through. Our goal, as Alan said and I've said, many times is that we're trying to find assets that we get a good value that feed our network, whether that be in the re-refining space, whether that be in the incineration landfills, assets that give us the permits and the footprint that we need to kind of grow our core business. And so, nothing changes in that area going forward. As Alan said earlier, we see a steady flow of M&A targets. And so, we see many, and we pass on many – we don't get credit for that. We pass on tons of potential opportunities, because we want to make sure that we're getting a good value for our shareholders.
Alan S. McKim - Clean Harbors, Inc.: And I would just chime in that valuations have been very rich. And one of the things we'd like to be optimistic and we like to obviously pay a fair price and kind of have a good deal that's going to be good in the long term. So, valuations, I think, have been very high...
Michael L. Battles - Clean Harbors, Inc.: Right.
Alan S. McKim - Clean Harbors, Inc.: ...with some of the transactions that we've seen out there. And so, that's held us back a little bit, too, Scott.
Scott Justin Levine - Bloomberg Intelligence: Got it. Great. Thank you.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the floor back over to management for closing comments.
Alan S. McKim - Clean Harbors, Inc.: Well, thank you all for joining us this morning. We're participating in some upcoming events. The Stifel event will be coming up. We'll be presenting at the Baird Industrial Conference next week out in Chicago. So, look forward to seeing some of you at these and some of our other events. Thanks very much.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.